Arnold Donald: Good morning, everyone, and welcome to our business update conference call. I am Arnold Donald, President and CEO of Carnival Corporation & Plc. Today, I'm joined telephonically by our Chairman, Micky Arison; as well as David Bernstein, our Chief Financial Officer; and Beth Roberts, Senior Vice President, Investor Relations. Thank you all for joining us this morning. Before I begin, please note that some of our remarks on this call will be forward-looking. Therefore, I must refer you to the cautionary statement in today's press release. I know, I'm certainly not alone when I say I'm glad to put 2020 behind us. Clearly, 2020 was unprecedented. On the other hand, it also proved to be a true testament to the resilience of our company. I am really proud of how well we weathered the storm, and I'm very grateful to all of those who helped make it happen, particularly our Carnival family, both shipboard and shoreside. And believe me, it took all hands on deck to return over 260,000 guests home; to repatriate 90,000 crew members; to process billions of dollars, euros and pounds of guest refunds; and billions in future cruise credits; to accelerate the exit of 19 vessels and negotiate the delay in 16 ships on order; to move our entire fleet into full-pause status; to develop new cruise protocols and put them to the test as we resume cruise operations in both Italy and in Germany; to extend debt maturities and amend agreements with over 20 lenders and 40 different agreements; all while completing over a dozen financing transactions for a cumulative $19 billion of new capital. We ended the year with $9.5 billion in cash, and we have the liquidity in place to sustain ourselves throughout 2021, even in a 0 revenue environment. And we are emerging from a pause a more efficient and even better operating company. Now we executed a significant rationalization of our fleet, reducing capacity by 13%. And as a result, we are less reliant on new-to-cruise, thanks to our recurring base of repeat guests, and that represents a source of nearly 8 million guests each year, which will now be spread over a smaller fleet. Our strategic capacity reduction also delivers a structurally lower cost base, just by the fact that the 19 ships leaving the fleet are smaller and less efficient ships, we benefit by a 2% reduction in unit cost and a 1% reduction in unit fuel consumption going forward. Our efforts to rightsize our shoreside operations reduces our costs further as well as our continued focus on finding efficiencies across our ship operations. And of course, over time, we will achieve an additional structural benefit to unit cost as we deliver new, larger, more efficient ships, and this includes the recent delivery of Princess Cruises' Enchanted Princess; P&O U.K.'s Iona; Costa Firenze; and the highly anticipated Carnival Mardi Gras. Both, the first roller coaster at sea onboard Mardi Gras has already generated significant media attention for Carnival Cruise Line, garnering hundreds of millions of media impressions just in the last few months, as has the Queen Mary 2 for Cunard, which was the focal point in the recent star-studded film, Let Them All Talk, capturing over 7 billion media impressions. We further strengthen our Board of Directors, adding to an already experienced and strong board with the addition of a new independent Board member with a comprehensive background in compliance. We strengthened our management team, promoting Josh Weinstein to Chief Operations Officer. Josh is uniquely suited for this role, having previously led Carnival U.K. and prior to that, serving as our Corporate Treasurer and prior to that, serving in a role in our legal department. And together, with the rest of the leadership team, he will serve a key role as we continue to aggressively streamline our operations for effectiveness and efficiency. We are honoring our commitment to diversity and inclusion. And in fact, half of our operating companies are now led by women executives. We once again continue to make advancements in our sustainability efforts, reducing food waste and accelerating the reduction in single-use plastics, amongst other goals. One of the most rewarding aspects of 2020, clearly, was the strong fundamental demand for our brands. The forward booking trends we have consistently experienced throughout this period in spite of the extended pause in our operations, in spite of our minimal advertising effort and even in spite of the abundance of negative global news, affirm the underlying demand that will facilitate our staggered resumption and support the long-term growth of our company. And we have not only seen tremendous support for our brands from our loyal guests, it is also very encouraging to see demand from new guests. Upon resuming service, we believe we are well positioned to optimize that pent-up demand by leading brands around the world. Now as we've mentioned on our last couple of updates, our company is uniquely positioned for a phased resumption in cruise travel, given our multiple national brands, which can each be restarted independently. This has already proven to be instrumental in enabling us to resume cruising on a limited basis, both for Costa Europe, which is nearly 80% Continental European source, and for AIDA, which is roughly 95% German source. Our other brands like P&O U.K., which is 98% British sourced, P&O Australia, which is more than 99% Australia/New Zealand sourced and Carnival Cruise Line, which is 92% U.S. sourced, all present further opportunity. Additionally, the fact that these brands are characterized by ready access with drive to markets and a prevalence of charter duration cruises, strengthens the potential for success in today's environment. Of course, we will continue to utilize the 6 destinations we own and operate, including our 2 highly regarded private islands in the Caribbean, Princess Cay and Half Moon Cay. Half Moon Cay, for the 20th consecutive year, was rated by Porthole Cruise Magazine and its Readers' Choice Awards as the Best Private Island. We continue to work diligently to resume operations in the U.S., including, of course, ongoing discussions with the CDC. At the same time, we're working towards resuming operations in many other parts of the world, including Asia, Australia and, of course, the U.K., and we're working hard to do so in a way that serves the best interest of public health. Our highest responsibilities, and therefore, our top priorities are always: compliance, environmental protection and the health, safety and well-being of our guests, of the people and the communities we touch and serve and of our Carnival family, our team members shipboard and shoreside. Now we dealt with many types of viruses previously and already have effective protocols in place onboard our ships, including screening measures, medical centers and enhanced sanitation procedures, which prevent and reduce spread once brought on board from land. Clearly, however, this virus is unique. And as you know, we've been working with leading medical and science experts around the globe to develop new and enhanced protocols and procedures based on the best available science to specifically address the risks associated with COVID-19. We expect these protocols to continue to evolve as society's understanding of COVID-19 strengthens. And as we are demonstrating with both Costa and AIDA, which have received high satisfaction scores from our valued guests, who have appreciated the changes we've implemented, we intend to initially resume operations with a small percentage of the fleet. So for our initial voyages, we've chosen a sail with low occupancy levels, enabling us to gain valuable experience with our enhanced safety protocols. Now we're working toward having all of our ships back in service by the end of the year. The development of low-cost testing, the continued advent of therapies and the pace of the distribution of vaccines will certainly influence the pace of our recovery. As the industry leader, maintaining a strong balance sheet has historically been a key strength for our company and a differentiator for our shareholders. Accordingly, we secured the necessary funding in a balanced and responsible way. Currently, we have the lowest leverage in our industry, and we retained the capacity to issue additional debt. Having secured the necessary financing to get through 2021, we will turn our attention to improving the balance sheet and reducing interest on our path back to investment-grade credit. We stretched out the delivery schedule, pushing out new build capital and more importantly, we have just 1 ship for delivery in fiscal 2024 and just 1 ship for delivery in fiscal 2025. That will significantly reduce capital expenditures during those years, enabling us to pay down debt. Now all of these efforts are in keeping with our primary financial objective going forward to maximize cash generation. As we return to full operations, our cash flow will be the primary driver to return to investment-grade credit over time, creating greater shareholder value. With the aggressive actions we've taken, managing the balance sheet and reducing capacity, we are well positioned to capitalize on pent-up demand and to emerge a leaner, more efficient company, reinforcing our industry-leading position. Throughout these challenging times, we've received overwhelming support. So again, thank you to our valued guests. Thank you to our dedicated members of the Carnival family. Thank you to our travel agent partners, and thank you to our other stakeholders for their ongoing support. And especially, thank you to our investors for their continued confidence in us and in our future. With that, I will turn the call over to David.
David Bernstein: Thank you, Arnold. I'll start today with an update on booking trends. Then I'll provide our monthly average cash burn rate, along with a summary of our fourth quarter cash flows and then finish up with some insights into our financial position. Turning to booking trends. At this point in time, our cumulative advanced bookings for the second half of 2021 are within the historical range. Even better, our cumulative advanced bookings for the first half of 2022 are ahead of a very strong 2019, which was at the high end of the historical range. Directionally, comparable pricing on these bookings for the second half of 2021 and the first half of 2022 are down just 1% versus pricing on bookings in the beginning of fiscal year 2019, if you exclude the negative impact of future cruise credits or more commonly known as FCC. Pricing on bookings in the beginning of fiscal year 2019 is a tough comparison as that was a high watermark for historical yield. However, I must say, to some extent, this is an apples and oranges comparison, given the increase in bundled packages that we have offered and that guests have chosen more recently, making the underlying comparison more favorable than indicated. In the end, we expect to see the benefit of these bundled packages in onboard and other revenue. I would also like to point out that our book position is very encouraging, given it was achieved with minimal advertising and promotional activity. Due to the pause in guest cruise operations in 2020, the company's future booking trends will be compared to 2019 and not the prior year. It is particularly reassuring to see that approximately 60% of bookings taken during the fourth quarter 2020 for fiscal year 2021 were new bookings with the remainder being FCC rebooking. I am happy to report that this is a 5 percentage point improvement over the third quarter booking activity. And it's also promising to see that approximately 45% of the 2021 book position are guests that are new to brand, with the remaining 55% of guests being brand loyalists, which is just a little higher than the norm, a continuation of the positive position we had at the end of the third quarter. Now let's look at our monthly average cash burn rate. For the fourth quarter, our cash burn rate was $500 million, which was slightly better than the previous expectation of $530 million due to the timing of capital expenditures. For the first quarter, we expect our monthly average rate to be approximately $600 million, which includes restart expenditures. The average rate expected in the first quarter is higher than the fourth quarter, driven by higher capital expenditures due to the shifting of CapEx from the fourth quarter to the first quarter and more first quarter dry dock days as previously indicated, as we prepare for the resumption of guest cruise operations. Next, I'll provide a summary of our fourth quarter cash flow. We are currently in a solid liquidity position with $9.5 billion of cash on our balance sheet at the end of our fiscal year. I am happy to say that this is $1.3 billion more cash than we had on the balance sheet at the end of the third quarter. During the fourth quarter, we added to our liquidity position by completing 3 very well received capital market transactions with cumulative net proceeds of $4.5 billion. The 2 at-the-market or ATM equity offering programs raised $2.5 billion, while the senior unsecured notes we completed in late November raised $2 billion. This was partially offset by 3 things: first, our total cash burn for the quarter was $1.5 billion, simply on monthly average cash burn rate of $500 million per month times 3; second, $1.5 billion driven by scheduled debt maturities; and third, a slight decline in customer deposits of $0.2 billion from $2.4 billion at the end of the third quarter to $2.2 billion at the end of the fourth quarter, which was better than our previous expectation. Finally, I will finish up with some insights into our financial position. Since the pause in our guest cruise operations earlier this year, we have raised $19 billion to a series of transactions. This series included 3 equity offerings raising over $3 billion. These offerings, along with retiring $1.5 billion of our convertible notes through the issuance of common stock, considerably strengthened our balance sheet by reducing debt and bolstering shareholders' equity. From a financial position perspective, 2020 could be characterized as obtaining sufficient liquidity to get through the pause in guest cruise operations. However, with $9.5 billion of cash on hand at year-end, our focus for 2021 has now shifted to additional financial transactions that optimize our capital structure. We will look to liability management with our banking partners to refinance existing debt at lower interest rates where possible. We still have the ability to issue more debt if and when needed. And during 2021, we may also opportunistically further enhance our liquidity position. And now I'll turn the call back over to Arnold.
Arnold Donald: Thank you, David. Operator, please open the call for questions.
Operator: [Operator Instructions] And we have a question from the line of Steve Wieczynski with Stifel.
Steven Wieczynski: So David, I think -- so David, I want to start with your last comments there about your liquidity position. I guess I'm a little confused because you -- obviously, you have wording in the release about how you expect to enter additional financial transactions, which you just talked about. But Arnold, you also indicated you expect to have all your ships operational by year-end, which I think to some folks, might seem a little aggressive. So I guess the question is around maybe, why would you need to really raise anything additional at this point if you think you would be fully operational by year-end, and I hope that makes sense.
Arnold Donald: First of all, just to restate, for me, we hope to have all of our ships operational by year-end. Obviously, as I'm hoping what's happened so far in early '21 here is just a hangover from 2020. But we're still navigating this thing as a planet, this whole thing. So hopefully, we have them all operating about in a year. And now I'll let David respond to the rest of your question. Go ahead, David.
David Bernstein: Yes. So Steve, some of the uncertainty relates to the resumption of cruise operations and the various brands around the world, exactly when and how soon. And so we're just trying to keep people aware of the fact that we do have multiple billions of dollars of debt capacity and we can utilize that if and when needed. So we have choices, and we'll monitor the situation very carefully. And some of it also depends on -- just like I said before, on the timing of the restart of the operation, which at this point in time, is a little bit uncertain.
Steven Wieczynski: Okay. Got you. And then, I guess, a bigger question would be just around the vaccines themselves. And I assume you guys have put some thought into are there going to be requirements for whether it's the crew, whether it's passengers, whether it's both, that they would have to be vaccinated before they're allowed to sail.
Arnold Donald: Well, you know, as you can -- as you're very well aware, the whole vaccine thing is at the very beginning here. And so we're monitoring, we're in dialogue with not only CDC, but lots of other equipment organizations around the world for other destinations. And so we'll let it evolve over time, and we'll make the most prudent decision when the time comes. But at this point, distribution remains a bit of an issue. And so we'll make a determination as things evolve.
Steven Wieczynski: Okay. And can I ask one real quick housekeeping question for David? David, can you help us maybe just think about what you guys are thinking from an interest perspective for '21?
David Bernstein: So interest expense on the existing debt that we have at the end of 2020 would be about $130 million a month or, call it, $1.6 billion for the year. So depending on liability and management and other things, it could be a little bit of plus or minus from that number.
Operator: We have a question from Robin Farley with UBS.
Robin Farley: I wonder if you could give us any sense of the timing or kind of the gating issue for your first -- your initial test cruises?
Arnold Donald: Robin, that's a work in process. Phase 1, we're in with what's been communicated by the CDC, the additional guidelines for future phases have not yet been issued by CDC. We have weekly calls as often as we need with them. So that remains to be seen. But what I can tell you is that we're on track to be able to do whatever we need to do in a very timely manner to be able to resume cruise ultimately.
Robin Farley: So it sounds like you're waiting specifically for the CDC to issue some specific guidance around the test cruise timing.
Arnold Donald: Well, to answer your question about specific timing on test cruise, yes, we would be waiting. But obviously, we're doing a lot of things. We've started to bring ships back into the U.S. We have -- and bringing those ships back are meeting the criteria that is currently put out there to be in a position to then subsequently do test cruises. But to give you a specific timing on the test cruises, we would need additional guidance from CDC.
Robin Farley: Great. And then just one other, and maybe this is -- and maybe this one is for David. How should we think about the expense of a restart? And I guess what I'm asking specifically is you've talked about how even when the ship is in warm layup, you have some crew on board, you're running the systems and all of that. So is the actual cost of when that ship goes from being in warm layup to operating, is it just sort of increasing the staffing levels? Or is there some other incremental expense? I mean obviously, as a ship sails, it will start to burn fuel, you'll start to have to provision for people. But I'm talking about, is there any sort of onetime cost? Or is it just that you staff up and you go from these lower levels to being what a typical expense per passenger cruise day would have been prior?
David Bernstein: Yes. So I can tell you what our experience has been with Costa and AIDA. Because with Costa and AIDA, the capital expenditure was de minimis. The crew, they brought the crew back, which is an expense, plane flights and testing and other protocols. You've got to spend some money for food and other inventory for the ship. But while this will be a cash outflow, as you would expect, during this period, if you're ramping up the ships, you also have a cash inflow from the customer deposits because you're getting final payments in association with those voyages. So -- and I think I have said before that the ongoing expenses that we experienced relating to protocols in Europe was a few hundred thousand euros per month per ship. For the U.S., for the CDC, as Arnold indicated before, we're still waiting for a lot of the technical guidance that was not included in their original conditional sail order. And so it's very difficult to estimate if there'll be anything different for the U.S. at the time we restart operations.
Operator: And our next question is from the line of James Hardiman with Wedbush Securities.
James Hardiman: David, you gave us the interest expense. Could you just help us out maybe with the share count where it stands today and what you expect it to be once you're making money again on a diluted basis?
David Bernstein: Yes. So today, the outstanding share count at the end of 2020 was 1.087 billion shares. And the only other thing with the -- that I'll add is with the conversion of the remaining converts, it would total 1.140 billion.
James Hardiman: Got it. And then as we think about a presidential transition here in the next couple of weeks, maybe how you're thinking about potential risks or maybe opportunities? Do you think that changes the conversation with the CDC at all? And obviously, what was a nice benefit for you guys during the Obama administration was the availability of Cuba. Have you had any conversations on that front? It seems like it could be maybe an opportunity going forward.
Arnold Donald: I think -- first of all, thanks for your question. I think first of all, look, we all stand together in trying to mitigate the spread of this virus. And whatever administration is in place, obviously, we're going to be totally in compliance. But we just want to be an ongoing part of the solution regardless. So in terms of incremental risks associated with one administration versus another, not thinking that way at all, either way, we have to do the right thing to serve the best interest of public health. And I think the signs, ultimately, will guide us all to there. With regard to other matters, obviously, Cuba was a focal point for the Obama administration opening up Cuba, et cetera. We'll see what happens with the incoming administration. We obviously will be well prepared. We were -- very actively, we're the first ones to sail to Cuba. And we'll be well prepared to be able to operate in whatever the guidelines and rules and regulations are. But we'll be prepared to, again, help people who really want to go to Cuba, see it the best way we feel, which is arriving via cruise and then experiencing what Cuba has to offer when it opens.
James Hardiman: Got it. And then just maybe lastly for me. The different brands that you employ, as we think about sort of a post-vaccine environment, are you seeing major differences in terms of demand for those different brands? Obviously, depending on the country and their state in terms of the virus itself, that's going to change demand. But maybe just more broadly, are there some brands that are better positioned than others as we look to second half of '21 and into '22?
Arnold Donald: As I stated in my opening remarks and obviously, overall demand has been very robust, and we find that very affirming for our business. We do not see major differences across brands. Obviously, one would be Costa Asia, where the booking is much closer in than any of our other brands. But absent that, there's no big dramatic differences across the brands in terms of booking patterns or trends. And there's a lot of pent-up demand for cruise, which is evidenced by the booking patterns. And so -- and we're going to have smaller fleets. First of all, we're going to reintroduce on a staggered basis. The fact we have national brands, as we pointed out before, plays well for us in that regard. And the fact that we have a number of brands that are drive to markets, easier to get to, so on and so forth is another benefit, and that's around the world. And so given that we don't see dramatic differences across the brands and we see the genuine strength and what should be a robust opportunity once cruise resumes.
Operator: Our next question is from Brandt Montour with JPMorgan.
Brandt Montour: Just curious on bookings. Hopefully, you could maybe flesh out some of the cadence in bookings qualitatively, sort of interested in knowing how bookings pace is faring now versus pre-vaccine, and if that's a meaningful different pace. And sort of when did you might see that inflect?
Arnold Donald: Bookings were robust pre-vaccine and have been post-vaccine, so we haven't seen any dramatic shift in that. Again, we haven't experienced a demand challenge for cruise, for all the reasons we pointed out, including the large base of previous cruise scores, repeat cruises, et cetera, where the demand is really getting pent-up because they've been many months without being able to satisfy their craving for a cruise experience. But I'll let David comment more granularly on some of the booking trends statement.
David Bernstein: Yes. No, that's correct what you said, Arnold. And the thing that I would add to that is we've seen good demand in all of the various cruise markets, whether it be the Caribbean itineraries, Europe itineraries. We're seeing good demand for Australia, for world cruises, et cetera. So it's broad-based and across, as Arnold said, all the brands.
Brandt Montour: That's helpful. And then one more for me is on the CDC, I was hoping that you could help us understand the relationship between maybe potentially as we move to the summer season and ships tend to sail more abroad, is it at all likely that you might look to get fewer ships outfitted and certified under the CDC guidelines, since there's not a whole lot of point to get certified for 1 month in the spring and then go sail elsewhere where there's not going to be the same restrictions?
Arnold Donald: We want the freedom to operate, period. And so we'll be focused on, again, being in compliance with whatever CDC regulates. Obviously, we give our inputs and offer up other like science, medical experts, their inputs and whatnot. But the CDC will make their determinations, and we want the freedom to operate. Now having said that, as we mentioned earlier, the fact that we are global, that a large number of our sailings normally are outside the U.S. and so on, is -- gives us additional degrees of freedom, but we also have to secure the freedom to operate in other places. Now we've been doing a really good job so far in Europe with the limited startups of Costa and AIDA. But you're right, as you look around the world in different targeted markets, but obviously, the summer is also an active time for U.S. sailings with holidays and vacations. Of course, all of that feels a little different now. But nonetheless, it is an active period. So we're well positioned, we're differentiated. We have 9 world-leading cruise line brands, we have national brands. As things open up in staggered ways around the world, we can take full advantage of that. But we like to have the freedom to operate everywhere.
David Bernstein: And I'll just add that if you look at the CDC website, you'll see that we brought 30 ships back into U.S. waters, 1 more is expected to come back, it's in transit, Carnival Mardi Gras. And those are the ships that we expect to sail in U.S. waters through the balance of the conditional sail order that the CDC issued this year and the remainder of the ships would sail outside U.S. waters.
Operator: And our next question is from Assia Georgieva with Infinity Research.
Assia Georgieva: A couple of quick questions. Is there an inclination or ability to possibly restart some of the ships that are currently scheduled to start, let's say, May and June as opposed to at the end of March? How easy is that? Or is that something that is not going to change?
Arnold Donald: If it made sense, then first of all, we're always going to act in the best interest of public health, that's number one. Number two is if we have the freedom to operate sooner and there were itineraries that made sense, we would not rule out here in January, introducing customized itineraries prior to those periods for brands, if it made sense and we were able to do so. So yes, there is the possibility, even with brands that have announced a pause through a certain period of time, that if the opportunities presented itself and it made sense, especially if this is now January here, how many -- absolutely, we could introduce some customized itineraries, or something, to reintroduce if it made sense.
Assia Georgieva: And Arnold, you mentioned shorter cruises, which, of course, make more sense. But it's not the old -- the longer voyages over 7 nights for the higher-end brands. Again, do you think the CDC might be open to reconsidering their position and possibly allow longer voyages before November?
Arnold Donald: We'll have to see what evolves. And again, with the advent of the vaccines, with the acceleration of low-cost, more rapid testing, with advancements in treatments and so on, I think all of this is potentially in flux. That would definitely be the CDC's call to make. And -- but again, things change all the time, and we have to see. So I wouldn't say it's impossible. I think again, everyone wants to act in the best interest based on science. And if the science and conditions made it possible, then they may change their position. And then there's other places in the world and whatnot, and they have their rules and regulations. And so there will definitely be opportunity in some places in the world to have longer cruise itineraries for certain and possibly here in the U.S. prior to that date, but we'll have to see.
Assia Georgieva: And lastly, given your very active communications with the CDC, do you have any sort of an expected time line as to when you might be receiving further technical orders and guidance? Or are you just waiting in the day they come out, and that's when all of us will find out?
Arnold Donald: Yes. I think I learned a long time ago in different businesses, never try to predict regulatory anything because by its nature, it's not that predictable. So we provide the information, we're in active dialogue. They'll make their determinations and the time frame that, obviously, they feel comfortable doing so, and we'll respond to that. So we don't have a day definite for future guideline release from them, but we'll be prepared to act on whatever comes, whenever it comes.
Assia Georgieva: I think all of us will be waiting for further guidance as soon as it's available.
Arnold Donald: And then the last comment would be this, that, obviously, we're in this business for the long term. And while we all want to resume cruising as soon as possible because cash generation and cash maximization is clearly, the order of the day for us as a business at this point, the reality is we want to do it in the right way and make certain that we're well prepared to be in compliance, whatever the rules and the regulations are. But whether we start sailing in April or March or June or whenever, the real value in this business, obviously, makes sense for many years and eventually, will all be back to the great days of growth in our industry and growth in earnings, growth in cash generation, et cetera. And when you look at it over time, a matter of a month here or a month there, a couple of months here or there, are not determining the future value of the industry or our company.
Assia Georgieva: I agree, but I've been following the pricing for all voyages for close to 2 decades now. And kind of itching to start getting actual moving ships as opposed to just the forward pricing. Yes. Okay. Well, good luck.
Arnold Donald: Thank you, thank you.
Operator: We have a question from Patrick Scholes with Truist.
Charles Scholes: Correct me if I'm wrong here, but I believe there was an industry meeting early last week with the CDC. And if that is correct, I'm wondering if you can share any details from that meeting.
Arnold Donald: No, we wouldn't share any details. There are multiple meetings with the CDC at different levels. There's technical levels, there's medical levels, there's all kinds of things. And so at this point, what I can tell you is that we're in constant communication, as are the other cruise lines. And also, our industry association, CLIA, is also having dialogue as appropriate. And everybody is working together, focused on resumption of cruise in a way that fits with overall what CDC is determining is best for our society.
Charles Scholes: Okay. Fair enough. And then a second question on the 19 ships that are leaving or have left, some of them have left your fleet. Can you give us a ballpark idea of what the net cash income and cash flow from those are?
Arnold Donald: I'll give you that, David?
David Bernstein: Yes, you're talking about the sales price?
Arnold Donald: The 19 ships we plan to exit.
David Bernstein: Yes. So...
Arnold Donald: Not -- no, you're saying -- go ahead.
David Bernstein: Yes. So -- oh, the cash flow, that was only 3%. We had indicated before, it was 3% of operating income in 2019.
Charles Scholes: I'm talking about -- I'm sorry, the proceeds, the proceeds from...
David Bernstein: Oh, the proceeds. Yes. So...
Arnold Donald: Oh, the proceeds. We wouldn't share that.
David Bernstein: Yes. So we don't disclose the sales price of any ship. As you would imagine, that would put us in a disadvantage in future negotiations. But I will say that prior to COVID-19, in many cases, we were selling ships for $50 million, $60 million, $70 million a piece. But obviously, in these cases, we were selling ships for somewhat less than the historical standard, post-COVID-19. So it wasn't -- it was de minimis in the grand scheme of a company of our size.
Operator: We have a question from Ben Chaiken with Credit Suisse.
Benjamin Chaiken: You talked about lower cruise costs from ships leaving the fleet. And I think incremental to that insinuated, I believe, some lower cost as a result of more efficient shoreside. Can you touch on what those improvements are? And then maybe any way to think about sizing that opportunity? And then just one more, there's a -- from there.
Arnold Donald: Yes. As I mentioned, with the ships exiting the fleet, there were less efficient ships we accelerated the exits, given the fact that there was no opportunity for them to generate cash in the near term given the pause we're in. And so the -- it gives us a 2% reduction in kind of base cost based on those ships exiting. And then 1% fuel advantage as well. So that's on the shipside. On shoreside and stuff, basically, with this pause, obviously, we furloughed and had to make a number of changes from a cash conservation standpoint to get our burn rate down. And it's also given us opportunity to examine, and we continue to do so, all of our operations shoreside to see where we can be more efficient, where we can be more effective. And that's in every aspect of the business. So when you say, give you a few examples, it would be the normal things you would think about. Right now, we're not advertising and all that, but you're looking at your marketing department, you see how you're structured also what you're spending money on and what have you. And we were on a path of continuous improvement before. We've been very successful through our sourcing efforts, but beyond that, even our operating procedures and stuff, where we were doing a pretty good job of getting unnecessary cost out of the system. And so we continue to do that. And with this pause, we've been able to take a hard look at every aspect of the business and continue to do that and have found additional opportunities for improved efficiency.
Benjamin Chaiken: Got you. That's helpful. And then I think, David, in your pricing commentary, you mentioned that -- I don't know if I caught this right, but forward pricing includes bundles, presumably, I guess, implication, the lifting pricing there. So I think you mentioned that was not apples-to-apples. So is it possible to get an apples-to-apples pricing for what you're seeing on your forward books versus the '19 comparison, I think?
David Bernstein: So the -- when we do the bundle, what we do is we allocate a portion of the bundled product to the onboard and other revenue. So the price that we're using in the comparison is only a portion of the total price that was paid by the guests overall. So it's as close to apples and apples as we can get it. But the problem that you get into is because of the allocation, we're going to see the benefit in onboard and other revenue. So that's why I said that the comparison was probably more favorable than indicated where I said we were down 1%, excluding the future cruise credits. That's about as close as I can get it because we've allocated out the onboard and other. But you would expect to see a big increase in onboard and others result of the prepurchase. So hopefully, that clarifies it for you.
Operator: We have a question from Jaime Katz with Morningstar.
Jaime Katz: I was just wondering if there were any interesting insights or takeaways from the 45% new-to-brand bookers that you guys are seeing? Are they skewing younger? Are they maybe longer lifetime customers then? Or if there's anything different than some of the new-to-cruise in the past?
David Bernstein: So it's been...
Arnold Donald: No, we have not seen any like dramatic trend difference in new bookers or new cruisers than we have in the past. But David, sound like you wanted to make a comment. Go ahead.
David Bernstein: Yes. No, I was just going to add that overall, whether it be the 45% or the 55%, which are brand loyalists, which, by the way, just a little -- just slightly more than the norm, we really haven't seen any significant change in the overall demographics of the people booking cruises. We're seeing people in their 20s and 30s as well as people in their 50s, 60s, 70s and 80s. And anecdotally, I was talking to a couple of the brands asking them about various voyages and things. And they were telling me that some of the longer voyages in early 2022, they were seeing quite a few people, 70 and up, booking those voyages. And we were just speculating that maybe those were retired people that didn't have to worry about a work schedule so they could plan considerably further ahead than most people. So we're not seeing any significant changes or trends in demographics around the globe, seeing all ages booking in all products and all brands.
Jaime Katz: Excellent. And then just a quick housekeeping follow-up. For depreciation for 2021, I know a lot of the ships that have come out of the fleet are probably largely depreciated, but can you give us an idea of like what the delta year-over-year might be in that figure?
David Bernstein: So 2021, we're looking at roughly $2.2 billion, which is similar to what we saw in 2020. But it is a preliminary number. The difficulty in that is trying to estimate our CapEx for 2021. We obviously haven't made all of our decisions for 2021 yet. Some of it depends on the timing of the restart. So that is a preliminary number. But at this point, that's a good ballpark-ish figure.
Operator: And we have a question from Vince Ciepiel with Cleveland Research Company.
Vince Ciepiel: I wanted to come back to the FCCs. I think as of the last call, roughly 2/3 were still outstanding. So curious, is that kind of roughly held? And what you think it's going to take for more of those to start to convert? And then the next part of that is, I think you previously alluded to a mid-single-digit type of negative impact from the FCCs coming in on the pricing side. And I'm curious if that impact kind of has held and should continue to hold as more of those convert?
David Bernstein: So the last time, when I was talking about the mid-single digits, I was talking about the back half of 2021. When you start looking at the time period that we're talking about, the back half of '21 and the front half of '22, you're still in the same ballpark in terms of -- including the FCCs in terms of the pricing. And as far as the FCCS, probably, it's about 45% of our customer deposits at this point are still unapplied FCCs. So we still have quite a few FCCs that have yet to rebook. But that's not really very surprising. A lot of times, you get families that are booking, multiple families with kids. And you've got to coordinate vacations with supervisors at work and time frames. So we would expect these FCCs to turn into bookings over the next 6 or 12 months as people plan their vacation opportunities.
Vince Ciepiel: Great. That's really helpful. And maybe I wanted to think a little bit about the longer-term margin opportunity. You've talked about sale of less efficient ships, probably taking out some overhead, the arrival of newer, more efficient ships. Just curious what type of EBITDA margin opportunity do you think is ahead of you as revenue more fully recovers probably in '22, '23.
David Bernstein: Yes. I'd be reluctant at this point to kind of give you that margin opportunity that would be providing guidance, and we're not in a position yet. I think by Arnold's comments, indicating the efficiencies that we expect is alluding to an improvement, but give us some time to resume guest cruise operations, get back in service, and we'll be in a much better position later this year, perhaps to give you more guidance and details into that. But at this point, all of the cost metrics would lead you to a better margin opportunity in the future.
Arnold Donald: Operator, we'll take one more question, please.
Operator: And we have a question from Stuart Gordon with Berenberg.
Stuart Gordon: Yes. I was wondering if you could give us an approximate net debt number at the end of 2020, an idyllic calendar because I think there was some export credit facilities drawn down in December, but if not, on the fiscal side.
David Bernstein: So debt at the end of 2020, November 30, 2020, which were balance sheet date, will be $27 billion. And you're correct. We did -- shortly thereafter, we took delivery of 2 additional ships and drew on the export credits associated with them. That was probably an additional call it, $1.5 billion, if I remember correctly, in December on the Carnival Mardi Gras and Costa Firenze.
Stuart Gordon: Okay. And just to follow-up. I mean you've obviously given us some visibility on the delivery schedule in 2021. Have you given any thoughts on whether you could cancel any future ship deliveries? And also, what would be your anticipated fleet size in 2022 versus 2019, given the changes with the ships leaving?
David Bernstein: Okay. So in terms of the ship deliveries, I mean, we've said this many times before. I mean we did renegotiate delivery dates, as Arnold indicated, and we got a delay in all of the ship deliveries. But there are no cancellation clauses in our new building contracts. So as a result of that, I wouldn't expect any cancellation of any of the new builds on order. We started the year with 14 on order. We took delivery of 2. So we have 12 more in the ensuing years. And as far as capacity is concerned, if you look at the end of 2022, you'll see that -- and we try to do this in ALBDs, our capacity at the end of 2022 would be about 5.6 percentage points higher than 2019. So you're really just talking about less than 2% per year capacity growth from '19 to '22, because of the new builds that came in, but remember, the acceleration of the 19 ships that left the fleet. So it nets out to less than 2% a year. And with that...
Arnold Donald: Thank you, everyone. We really appreciate your interest. Happy New Year. Be safe. Be responsible, I'm sure you all are. And together, we look forward to what hopefully, will be a very nice 2021 leading to many future years of success. So thank you. Thank you so much.
Operator: That concludes the call for today. We thank you for your participation and ask that you please disconnect your line.